Operator: Ladies and gentlemen, thank you for standing by. Welcome to the General Mills 2011 Fourth Quarter Year End Results. [Operator Instructions] As a reminder this conference is being recorded, Wednesday, June 29, 2011. I would now like to turn the conference over to Ms. Kris Wenker, Vice President, Investor Relations with General Mills. Please go ahead.
Kristen Wenker: Thanks, operator. Good morning, everybody. I'm here with Ken Powell, our CEO; and Don Mulligan, our CFO. They'll discuss our fiscal 2011 results and our outlook for the new fiscal year. Let me remind you first, our press release was issued over the wire services earlier this morning. It's also posted on our website if you still need a copy. We've posted slides on our website, too, that supplement today's prepared remarks, and these remarks will include forward-looking statements that are based on management's current views and assumptions. The second slide in today's presentation lists factors that could cause future results to be different than our estimates. And with that, I'll turn you over to Don.
Donal Mulligan: Thanks, Kris, and hello, everyone. Thanks for joining us this morning. The last 12 months was a challenging period for the food industry and for General Mills. Input costs swung from deflationary to inflationary, and consumers in developed markets remain cautious in an economic environment where improvement seems slow at best. Given these challenges, we're generally pleased with our 2011 results. We met the key growth targets we set for the year. We returned a substantial amount of cash to shareholders through dividends and share repurchases, and the combination of dividends plus stock price appreciation resulted in a double-digit return to shareholders for the year. As expected, our performance in the fourth quarter was quite strong. These results reflected faster net sales growth and good margin recoveries result of recent pricing action. Slide 5 summarizes our results for the quarter. Sales totaled $3.6 billion, up 3%. Segment operating profit was $675 million, a 14% increase versus last year. Net earnings totaled $320 million, and diluted earnings per share were $0.48 as reported. Excluding the impact of mark-to-market effects in both years and a tax charge in 2010, earnings per share was $0.52, up 27% year-over-year. Our net sales growth accelerated 3% in the fourth quarter. U.S. retail sales were down 2% reflecting significant year-over-year differences in trade promotion activity and pricing. International sales grew 16% as reported and 9% on a constant currency basis. And our Bakeries and Foodservice segment reported an 11% increase in net sales, driven by pricing and mix. Our pound volume declined in the fourth quarter as expected since we were lapping very strong performance in the year ago period. Remember that in the fourth quarter of 2010, total company pound volume increased 6% on a comparable-weeks basis. Last year's performance was particularly robust in U.S. Retail where pound volume grew 8%. This year's fourth quarter results show improved net price realization as the driver of our top line. On a reported basis, fourth quarter gross margin increased to 37.5%. Excluding mark-to-market effects, gross margin expanded 100 basis points to 38.6%. Slide 9 shows our fourth quarter operating profit by segment. Profits increased in all 3 segments as we benefited from price realization and strong margin performance. We delivered double-digit growth in both Bakeries and Foodservice and International. After-tax earnings from joint ventures doubled to $30 million for the quarter, including favorable foreign currency effects and income tax comparisons. Fourth quarter sales for CPW increased 10% as reported and 2% on a constant currency basis. Häagen-Dazs Japan constant currency sales declined 10% reflecting the challenging economic conditions in that market. As a reminder, our JV results are for the 3 months ended in March 2011, the month the devastating earthquake and tsunami hit Japan. Slide 11 summarizes our results for 2011 in total. Sales grew 2%. That's on top of the 1% growth as reported and 4% growth in comparable sales in 2010, which included 3 points of drag from divested businesses in the 53rd week. Segment operating profits grew 4%, diluted earnings per share grew 20% as reported and diluted EPS, excluding certain items affecting comparability, reached $2.48, up 8% from last year. Results for our U.S. retail segment fell short of our target, primarily due to higher levels of promotional spending across our categories for much of the year. Our net sales essentially matched year ago performance overall. This included strong sales gains for our Small Planet Foods and Snacks divisions. Segment operating profit was 2% below strong year ago levels. In 2011, our U.S. Retail media expense was below last year's level, which grew 22%. However, we continue to increase the efficiency of our media spending. In fact, our total media pressure in market increased at a double-digit rate. And based on measured media spending tracked by Kantar, our U.S. media investment ranks #1 among all food companies in 2010. Let me shift over to Bakeries and Foodservice business, which had another strong year in 2011. Slide 14 shows net sales results for our key channels and brands. Our sales to Foodservice Distributors were up 3%, and sales of our brands in convenience stores grew 11% in 2011. Our consumer branded products are leading this growth. Yogurt sales increased 6%, cereal sales grew 3% and snacks sales increased 11% in fiscal 2011 across food service channels and convenience stores. This great sales performance combined with HMM productivity savings and higher grain merchandising earnings led to another year of robust profit growth for our Bakeries and Foodservice business. Operating profit margins exceeded 16% in fiscal 2011, and total operating profit grew at a double-digit rate, surpassing $300 million for the first time in company history. Our international operations also posted strong sales growth in 2011. As showed on Slide 16, net sales increased 7% overall. In Europe, sales grew 7% in constant currency led by Häagen-Dazs in France, Nature Valley in the U.K. and strong new product performance for Old El Paso across Europe. In Canada, constant currency sales increased 3%, led by cereal and grain snacks. This represents very strong performance in a highly competitive retail environment. Sales in the Asia-Pacific region increased 9% in constant currency led by strong double-digit growth in China. And in Latin America, sales increased 11%, reflecting good performance in Argentina, as well as pricing across the region. Segment operating profit increased 52% driven by strong net sales growth, margin expansion and foreign currency effects. Slide 17 highlights performance for our cereal partners worldwide joint venture. In 2011, net sales increased 2% on a constant currency basis with improving performance trends in the second half of the year. Market performance was mixed with continued category weakness in the U.K. but good growth in developing cereal markets like Mexico and France and double-digit growth in emerging markets like Russia, Brazil and Turkey. Excluding the U.K. market, our net sales increased 5% on a constant currency basis. We saw good growth across our core brands, led by high single-digit sales gains for Cheerios, Nesquik and Chocapic. As shown on Slide 18, General Mills in total has delivered consistent earnings growth in recent years. 2011 is the fifth consecutive year that we have met or exceeded our earnings targets, and this is translated in the superior returns to shareholders over the same period. Since 2007, General Mills has delivered a 10% annualized total rate of return to shareholders versus a 1% decline for the overall market. Turning to our balance sheet, use of core working capital increased nearly 16% in 2011. Driven primarily by higher inventory levels which reflect the rise in input costs. Receivables increased 12% driven by higher sales and foreign currency effects. Accounts payable increased at an even slightly faster rate. Cash flow from operations totaled $1.5 billion, which included both a $200 million voluntary cash contribution to our pension plan and a $385 million tax payment related to the IRS settlement and net tax gain we booked in our second quarter. This strong cash flow funded capital spending comparable [ph] in 2010. We invested roughly $650 million in capital, adding new manufacturing capacity to our Snack bar and Yogurt businesses and funding various cost-saving projects company-wide. We returned nearly $1.9 billion to shareholders including a 17% increase in our dividend. And our strong profit growth and cash flow allowed us to take out additional $460 million in debt while maintaining our credit metrics and BBB+ rating with all 3 rating agencies. As we look ahead to fiscal 2012, we expect another year of sales and earnings growth for General Mills. We're assuming significantly higher cost for ingredients and energy with estimated input cost inflation at 10% to 11% for the year. These inflation headwinds will be particularly strong in the first quarter. Our sales growth will be driven by pricing. Our plan assumes a modest decline in pound volume. We expect another year of robust savings from our discipline of holistic margin management, and we plan to increase our media investment at least in line with sales growth to support a strong lineup of new -- product new innovation. It's important to note this guidance is before any impact from the anticipated acquisition of a controlling interest in the international Yoplait business. We also expect 2012 to be another year of strong cash flow generation. We plan to invest about $670 million in fixed assets including new manufacturing capacities related to our cereal, yogurt and grain snack businesses. We'll pay approximately $1.2 billion to complete our purchase of a controlling interest in Yoplait International. This purchase will reduce our share repurchase activity in fiscal 2012. And yesterday we announced a 9% increase in our dividend to a new annualized rate of $1.22 per share. Slide 23 provides a summary of our earnings guidance for 2012, before any Yoplait International impact. We expect mid-single-digit growth in net sales with a modest decline in pound volume offset by mix and pricing. Underlying gross margins are expected to decline roughly 100 basis points as we expect our HMM discipline of cost savings, mix management and price realization to largely, but not completely offset input cost pressure during this 12-month period. We expect our media investment to grow at least in line with sales. We project our operating profit will grow at a low single-digit rate. Restructuring expenses planned to be minor and comparable to 2011. Interest expense is expected to increase at a low single-digit rate. We're assuming an effective tax rate comparable to 2011. We've estimated joint venture earnings comparable to 2011 results, too, with strong growth in CPW earnings offset by a decline in Häagen-Dazs Japan. We're assuming a slow business recovery there from the earthquake and tsunami. And we expect mid-single-digit growth in earnings per share reaching $2.60 to $2.62 per share before any mark-to-market effects. In terms of quarterly performance, we expect first quarter earnings per share will be below year ago levels. That's due to sharp input cost increases and shifts in the timing of promotional activity. The remaining 3 quarters are expected to show EPS growth. Now as for Yoplait. We recently received regulatory approval so we expect the transaction to close quite soon. We’re planning to provide a fiscal 2012 outlook on July 13. Here's what I can tell you today. We'll consolidate the business results for total Yoplait International into our financial results. Sodiaal’s interest will be reflected as earnings attributable to noncontrolling interest. Like other European operations, we report this business on a one-month lag. So fiscal 2012 will capture, at most, 10 months of operating results. We recorded a majority of the transaction expense in our 2011 results. Yoplait will contribute operating profit growth in 2012, but we're estimating that it will be offset by incremental amortization and the EPS impact of reduced share repurchase activity. Combining these factors, we're anticipating roughly a $0.01 drag to adjusted earnings per share in 2012. We'll also have integration and some remaining transaction costs in fiscal 2012. These will be excluded from underlying EPS. We're currently estimating these costs at roughly $0.03 of expense. With that, let me wrap up this review of 2011 results. We delivered sales and earnings growth in line with our long-term growth model and generated double-digit returns to shareholders. We also enhanced our business portfolio this year. We added to our U.S. Yogurt business with the purchase of Mountain High. In Australia, we expanded our lineup of Italian products with the acquisition of Pasta Master refrigerated lasagna. We divested a frozen baked goods line. We also had a small divestiture in our Canadian U.S. -- our Canadian Bakeries and Foodservice business. And of course, we announced our intent to purchase a controlling interest in Yoplait International. This year demonstrated the value of our broad business portfolio as growth in International and Bakeries and Foodservice offset industry weakness in the U.S. We feel we have the company well-positioned for continued growth in 2012. To tell you more about our plans for the new year, I'll turn the microphone over to Ken.
Kendall Powell: Thanks, Don, and good morning to one and all. The targets for fiscal 2012 sales and earnings growth that Don just outlined are a bit different than our long-term growth model. We expect our sales growth to be above our long-term target, and we're planning for segment operating profit growth and EPS growth to be below our model. And this is basically due to the double-digit increase in input costs that we've estimated for the year. Our HMM initiatives will continue to deliver a robust level of productivity savings. And we've taken various pricing actions through both list price increases and moderation of merchandising in depth and frequency to offset a portion of the input cost increases. But our pricing needs to be competitive with other branded and private label offerings on a category by category basis. So our plan assumes we will offset most, but not all, of the inflation we anticipate over the 2012 period. Our plans also include increased media investments to support a full lineup of new product introductions and marketing initiatives on core established brands. And we've made modest assumptions about the pace of business recovery for our Häagen-Dazs joint venture in Japan. We believe that these 2012 plan targets are appropriate, given the current operating environment and achieving them will represent another year of quality growth for General Mills. Now our long-term planning assumptions project input costs to rise at a mid-single-digit rate, driven by global demand for food and energy. And that is, in fact, what we have averaged over the last 5 years, but with greater volatility in recent years. We have maintained and even expanded our gross margins over this time while we expect to give up a bit of ground in 2012, we look to protect and expand margins over a longer period of time. Our program of holistic margin management is what gives us confidence. It provides the fuel to invest behind our brands, and our HMM efforts are truly global. In North America, we've implemented multiple initiatives over the last several years to reduce the cost to ship product to our customers. In 2012, we will apply that expertise to reduce the cost of raw material shipments to our manufacturing locations. In China, we're leveraging U.S. best practices to increase the efficiency of our Wanchai Ferry manufacturing process so that we can increase capacity without spending additional capital. And in Europe, we've centralized the purchasing of freight and indirect materials. So we remain very much on track to realize a 3-year total of $1 billion in COGS productivity worldwide by the end of 2012. And looking farther ahead, we expect to capture total worldwide supply chain productivity of more than $4 billion by the end of the decade. We have a high degree of confidence in our 5 key growth drivers: protecting margins, product and marketing innovation, expanding in international markets, partnering with our customers and investing in consumer marketing to build our brands. Of these, innovation is job one. It is what ultimately drives growth in our categories and growth in our sales, earnings and market share. We're bringing greater levels of both new items and product news to market in 2012, and I want to give you a few specific examples starting with U.S. Retail. We've got terrific innovation planned on cereal. Cinnamon Burst Cheerios, launched in January, continues to perform very well and provides a high fiber cereal that the whole family enjoys. We've just launched Fiber One 80 Calories cereal providing consumers with a great tasting low-calorie breakfast option. French Vanilla Almond Granola is the latest addition to our Cascadian Farm line, strengthening its position as the #1 granola brand. And kids are going to like new Cocoa Puffs Brownie Crunch. We've got another year of strong innovation planned for Snack Bar business, 90 Calorie Brownies are the latest addition to our Fiber One product line. With Chocolate Fudge and Chocolate Peanut Butter varieties, these products give consumers a great-tasting low-calorie snack. We've also added 2 new varieties to our highly successful Fiber One 90 Calorie grain bar line. Nature Valley Thins had a great first year in 2011 and we're going to support that momentum with increased manufacturing capacity and higher levels of advertising. Turning to yogurt. Our improved Greek yogurt is now on store shelves and performing well. Additional manufacturing capacity to support demand is coming online this summer, and we will begin national advertising to support this new offering. We're going to continue to remind consumers that Yoplait Original delivers 50% of a woman's daily calcium needs in one cup of yogurt. Our new Yoplait Light Granola Parfaits combine yogurt, real fruit and Nature Valley granola. And finally, we will benefit from a full year of sales contribution from our 2011 Mountain High acquisition. Our first half innovation lineup includes several new brand of platforms as well. We've created a new frozen breakfast line with 6 varieties of Pillsbury Egg Scrambles and Grands! Biscuit breakfast Sandwiches. Pizza Stuffers give kids a handheld option to enjoy the great taste of Totino's. Old El Paso Tortilla Stuffers are heat [ph] meat, providing a complete fajita meal in just 60 seconds. And for dessert, we've got new FundaMiddles, filled cupcake mixes from Betty Crocker, and Sweet Moments refrigerated Cheesecake Bites from Pillsbury. So in total, we have a very robust innovation lineup in 2012. By our measure, a very meaningfully stronger lineup than that in 2011. We'll launch nearly 70 new items in U.S. Retail in just the first 6 months, and there are more to come later in the year. Now that's all new items, but since 2004, we’ve challenged ourselves to improve the health profile of our established products. 2011 marks the seventh consecutive year we increased the items in our line, offering improved health credentials. Over 60% of our U.S. Retail sales last year came from products with health improvements. And we've got strong innovation planned for U.S. away-from-home channels. In Bakeries and Foodservice, we expect continued good growth from recent new products like Pillsbury Crescent Scrambles and Wheaties Fuel Bars. The launch of Pillsbury Mini French Toast will provide school cafeterias with another easy-to-prepare hot breakfast option that kids will love. Our International businesses have solid innovation plans too. It's turning out to be a warm summer in Europe, which is a terrific time for Häagen-Dazs innovation. We've recently launched 2 flavors of Häagen-Dazs' Secret Sensations. It's ice cream on the outside with a liquid crème brûlée or chocolate fondant center. It's just the kind of indulgence you'd expect from Häagen-Dazs. In Japan, Häagen-Dazs Crêpe Glaze is a blend of ice cream, crunchy biscuits and rich sauces, all wrapped in a soft crêpe to make an indulgent handheld treat. We will continue our strategy of geographic expansion for our Wanchai Ferry business in China. We expect our core frozen dim sum products to -- excuse me, we will expand our core frozen dim sum products to additional cities in China this year, and in additional markets, we'll expand beyond frozen dumplings and launch varieties of wonton, gyoza and mantu. And we'll begin expanding Wanchai Ferry into other markets in Southeast Asia. The wholesome snack category provides great opportunities for international innovation, and we've got a great lineup of new items. In the U.K., we're building on strong 2011 performance with additional varieties of Nature Valley Crunchy and more products and double-digit increases in advertising. In Canada, we're adding package sizes with higher bar counts to reach new consumer segments, and we're expanding our Fiber One 100 Calorie product line. And we're bringing our existing brands to new markets with the launch of Nature Valley Chewy Bars in Australia and Nature Valley Crunchy Bars in South Korea. Our International Cereal businesses are poised for good growth in 2012. In Canada, we've added a point of market share in each of the last 4 years, and we're targeting another year of strong growth in 2012. We're already generating tremendous customer excitement with the planned launch of Chocolate Cheerios. And we'll launch the first mainstream gluten-free cereal products in Canada: Honey Nut and Rice Chex. CPW has got good product news too. In the U.K., Super Fruity Shredded Wheat will be launched, and in Europe, Nesquik Pillows will extend this successful franchise by combining a creamy center with the Nesquik taste that kids enjoy. We'll fuel growth for our brands through strong levels of media investments. In 2012, we are targeting media spending to grow at least in line with sales growth, and our impressions in market will grow faster than sales. We continue to improve our efficiency through targeted media vehicles like digital. Spending here will be up nearly 30% this year. Our spending will continue to target 3 fast-growing consumer segments: baby boomers, multicultural consumers and the millennial generation. We're launching new media campaigns on brands like Nature Valley and Cheerios that target these groups, including a 35% increase in multicultural media versus last year. Now our 4 Global business platforms of ready-to-eat cereal, super premium ice cream, convenient meals and wholesome snacking are in growing categories that are on trend with consumers. And we're equally excited about the opportunity to add a fifth global platform, yogurt. We look forward to telling you much more about our plans for this platform in the very near future. So we enter 2012 confident that we're positioned for another year of quality growth at General Mills. We have leading market share positions and competing categories that are on trend with consumers, and they're growing in markets around the world. And we will invest in the product news and innovation that keeps our brands healthy and growing. So I will wrap up this morning by reminding you to attend our investor events in Boston on Wednesday, July 13, where we will outline our plans for fiscal 2012 in more detail. Presentations at the event will begin at 8:30 a.m., Eastern Time, and will also be available via webcast. So thanks to all of you for joining this morning for your interest in General Mills. And with that, I will now open up the call for questions.
Operator: [Operator Instructions] Our first question is from the line of Chris Growe with Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: I just have 2 questions for you. I guess first, Don, a question on the guidance and just understand how Yoplait fits in. Would you say that the guidance today, the 5% to 6% growth, includes share repurchase and then when you add in Yoplait sort of net of that it's a negative $0.01, is that the way to look at it -- the current guidance range and how it could change with the addition of Yoplait?
Donal Mulligan: Yes, that's exactly the way to look at it. The $2.60 to $2.62 includes our normal share repurchase rate, and then with Yoplait, we're going to redirect some of those funds for the acquisition. So the way to think about that $0.01 drag, I must say [ph], the underlying is from an operating standpoint net of the share repurchase reduction. From an operating standpoint, we’ll actually be about neutral, then we have about $0.01 of amortization -- intangible amortization that will drag. So kind of cash neutral once that reported drag. And that assumes that we have about 10 months of operating results for Yoplait.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay, got you. And then the other question I had for you, I guess for Ken, would be -- yes, we’ve had some comments recently from other company's about sort of the challenges around price realization. I wonder if you could talk about your experience and getting the pricing through, and I guess as I look at it today you have obviously very strong level of inflation. Should we expect more pricing to come through or is it a matter of just getting it through sort of getting retail to reflect that at retail? Are you having any challenges or any sort of threats there, if you will, for the business?
Kendall Powell: Yes, I mean, I guess what I would say on that is that we anticipated this level of inflation pretty well as we finished. We're in the sort of spring of this year, moving on from the third and into the fourth quarter. And it's come out broadly the way we thought it would. And as you know, we began taking a series of pricing actions and planning for a set of merchandising changes broadly across the line. And those have been really all announced and pretty much all executed over the last 2 quarters. So we feel that we're -- that we've planned for this level of inflation and have implemented the pricing that we will need over this next period of time. We've done that pretty well. Now obviously, we're in a volatile environment, and so we monitor inputs very closely. As you know we never comment prospectively about future pricing. But I think what I would say at this point in time is that we -- I think we planned well for what has, in fact, come to pass, and we have -- we've worked with our retailers well over the last 3 to 4 months. And we've got the pricing that we think we need through.
Donal Mulligan: Chris, I guess just for perspective, what I would add is if you look at our results for the quarter for U.S. Retail, we had about a 400 basis point expansion in price mix. And if you look at Nielsen, our average unit price is actually increased a bit north of that in the most reported 12 weeks. So I think we are seeing it come through.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: And I guess just to round that out then, to clarify, you have the 10% to 11% inflation, and you say, I think in the release, about how you're going to be including HMM, including mix improvements, a little short of that overall. So does that suggest more price -- the need for more pricing through the year, I guess, is that the way -- because you want to fully overcome that?
Kendall Powell: We don't really look to price for the absolute peak of inflation that we would see. I mean, I think what we're reflecting is the inflation that we're facing. We've got very good HMM continuing to come through. There's a competitive reality out there. We really want to -- it's really important to us to stay in the zone with our key branded and private label competitors. So we're balancing all of that. And our take is that all of that addition doesn't get us quite all the way to covering the full 11% of inflation. But we think that on balance, we're positioned in the correct way for the business.
Operator: Our next question comes from the line of Andrew Lazar with Barclays Capital.
Andrew Lazar - Barclays Capital: Two things, I guess. First, wondering if for U.S. Retail specifically, what sort of, I guess, inflation are you looking for, as well as pricing? I guess I'm trying to get a sense, is retail consistent with the overall sort of corporate numbers that you talked about in terms of what to expect around inflation and pricing for the year, and then just a follow-up.
Kendall Powell: Yes, Andrew, I think the way for you to think about that is that inflation estimate of 10% to 11%, think of that as global, very broad-based look at our commodity basket as we look around the world. So I wouldn't look for differences, one to another -- I mean, there can be differences from division to division, depending on their specific product mix, but it's a global number.
Andrew Lazar - Barclays Capital: And then on the pricing part of that? Because again, I'm trying to see what you're looking for on the sort of the retail package piece whereas I know you have some bigger swings in pricing from time to time in Bakeries and Foodservice based on some of the business mix there.
Kendall Powell: Yes, the pricing, I think from segment to segment might vary a bit. In U.S. Retail, it's going to be mid-single-digit. And as Don said, we've seen pretty -- I mean, an awful lot of that already coming through. So we think we're pretty close to where we're going to end up in U.S. Retail, and you guys can track and see that as well. In the Foodservice side, for instance, where it's more of a fully sort of grain-based product line, the pricing will be higher there. And that also is pretty much through.
Andrew Lazar - Barclays Capital: Okay, so then if we think about 10% to 11% input cost inflation, just purely, just the math of it, it would seem as though 4% to 5% pricing would be able to kind of handle that, right, even excluding HMM? And it does seem like that sort of pricing is what you're looking for in fiscal '12. So what I'm just trying to get a sense of is if I'm missing something there or -- because you're looking for mid-single-digit pricing, which corporately just on its own would cover, call it, 10% to 11% inflation from an input cost standpoint. So I just want to make sure I've got the math right is all.
Donal Mulligan: Yes, Andrew, this is Don. I think there's a couple of things you want to take into consideration as you think about modeling. One is we do expect some modest decline in our volumes. That obviously has a knock-on effect on our margins. And so as we see that come through -- and obviously from a pricing standpoint, that's part of what's driving those volume numbers. And as we think about our -- the pricing that we are putting through, yes, we’re pricing largely to offset the dollar inflation. That's why you see the margin compression that we talked about in our gross margin. So we're not pricing again within this 12 months to fully retain the gross margin percentage but ensure that we're at least offsetting the inflation dollars.
Andrew Lazar - Barclays Capital: Got it, okay. Quick last one and I’ll sneak it in, just how do the 70 new products in the first half compare if you have it to sort of last year's first half rate? And that's it.
Kendall Powell: Yes, I'm looking around the room, Andrew, to get hand signals from -- I mean, I think -- it's certainly, it's comparable to higher, and we feel quite good about the -- we think that the quality and we've got some -- I mean, we've just got some very good ones. We think that the cereals are really good. The Fiber -- the 90-Calorie Brownie, we’ve just had a string of very good innovation in that healthy snacking sector and so we think that's going to be good and we've got ample capacity which I think is an important point in that division to really supply everything that we anticipate. We like Pizza Stuffers a lot, which has been test marketed for the last few years. I'm being facetious. But it's a very successful product in Canada. And so we have a lot of confidence in that whole kind of frozen handheld sector. We think the Pillsbury breakfasts are good offerings and have been well received. So we feel quite good about what we've gone out with here in the first quarter, and we'll have more. We'll have more good new products as we come into the second half of the year. So we've got a good lineup of innovation here.
Operator: Our next question is from the line of Terry Bivens with JPMorgan.
Terry Bivens - JP Morgan Chase & Co: Just, Ken, just to go back to Yoplait a minute, does your guidance -- I assume your guidance for 2012 includes marketing to be spent on the new Yoplait acquisition?
Kendall Powell: No. No, Terry. We haven't really -- other than the transaction expense comments that Don made, I mean we haven't really shown you any operating detail on Yoplait because we haven't closed the sale yet. We will do that in mid-July.
Donal Mulligan: Yes, Terry, if your question is that the media spend guidance we gave is, growing at least in line with sales growth, that's for our existing business. It doesn't include Yoplait International impact.
Terry Bivens - JP Morgan Chase & Co: Yes, what I was getting at here is really this. I mean, one would anticipate as you get your hands on this business that there will be some outsized marketing to really kind of try to drive these businesses like I think you have in mind. I'm just wondering whether we should expect that in year one, whether we should expect that in year 2, which also kind of gets to the question of, will this be accretive in FY '13? That's really where I was going.
Donal Mulligan: As Ken alluded to, we'll provide further detail on the operating plans hopefully on the 13th we meet, assuming we get everything closed between now and then. But to think about it, with all these [ph] -- if you think about business that we're acquiring, it will be about -- it's a little over $1 billion, $1.2 billion in sales. Our share of the operating profits will add somewhere between a nickel and a dime to our earnings. Obviously, it will be probably at the lower end of that this year because it’s going to be a partial year. As we look at FY '13, we expect to move to the upper end of that range. The combination of that is going to be, as I said, basically cash neutral this year with $0.01 drag to the amortization of the intangibles. As we get into F '13, we expect the operating performance to at least equal what we have in the intangibles, so reporting neutral but cash accretive and then growing from there. And again, we'll provide more color to the specifics behind that next month.
Kendall Powell: And I guess, just the last thing to add, Terry, is these are market by market as we -- this thing comes our way. I mean, they're very good brands that respond very well to the things that we're good at. It's a category where innovation works, it’s a category where consumer marketing and innovation works. And they've done that well, and they’ve built some nice brands, and we look forward to working with them and bringing our capabilities to them. And they compete in this fabulous, huge and growing yogurt category. So the whole mix of opportunities there is quite exciting to us.
Donal Mulligan: I could add -- let me just finish up to -- a couple of people have asked now about the Yoplait impact. And obviously, I've seen a lot of the cuts that all of you have taken to try and estimate what the EPS impact would be. And I think there's this probably 2 fundamental differences in terms of what we're guiding to now versus some of the analysis I've seen and it's the fact that we're funding it through shares and a lot of people model it through debt. We're doing that primarily because we do want to retain our BBB+ rating, and we are looking at our credit ratings. And as we've talked about acquisitions in the past, we've always indicated that they will be funded through share repurchase dollars being redirected. And so that's what we're doing here, and that's probably causing probably $0.03 to $0.04 difference from what many of you have modeled. And then the other is the non-cash charge, the amortization of the intangibles, which would be a bit over a $0.01 in F '12. And maybe upwards of rounding to $0.02 in F '13 and going forward. And again, non-cash, I don't think people have modeled that typically. So I think that's where you get the difference between the guidance that we're giving you today and some of the modeling I've seen in your papers.
Operator: Our next question is from the line of Eric Katzman with Deutsche Bank.
Eric Katzman - Deutsche Bank AG: I guess just a couple of questions on the -- or one question on the fiscal fourth quarter, Don. It seems if I did the math right that your corporate expense x mark-to-market, et cetera, was about $100 million. And that was quite above what you were running for the rest of the year. I realize the fourth quarter is usually kind of a catch up, but was there something to read into that run rate for fiscal '12?
Donal Mulligan: No. This is in the corporate -- the corporate unallocated?
Eric Katzman - Deutsche Bank AG: Exactly.
Donal Mulligan: Yes, no, we had -- I'd say 3 things. One of which was coming through the year, which was the increased pension expense that we had each quarter, but the 2 things that came through in the last quarter, would be that, that’s typical we had where we put through our contribution to our foundation, to the General Mills Foundation, so that was on the order of $20 million to $30 million in the quarter. I'm looking around to make sure that I have that number correct. I know we did actually have -- our stock price made nice appreciation in the quarter, and as we recorded some of our restricted stock expense that -- by about $10 million to $12 million in the quarter as well. So those were kind of one-offs in the quarter. It doesn’t necessarily indicate a higher run rate as we look into F '12.
Eric Katzman - Deutsche Bank AG: Okay, and then I guess on the -- kind of looking -- stepping back a second. When I look at the chart, Ken, that you showed on the inflation, you had kind of similar levels of inflation in fiscal '09, I mean, granted it wasn't much of a jump, but we had in '08 and '09 high single-digit inflation, and it seemed like the company with the pricing that it put through back then really didn't suffer from, if my memory is correct, much volume erosion. And HMM was doing its job, and those were pretty strong years. And so I'm kind of, I guess wondering, and maybe this has been asked, but is it really the competitive environment and the state of the consumer that has you a bit more cautious on the volume outlook and kind of where all this promotions/net pricing ends up?
Kendall Powell: Eric, it's a good question, and I think it's a good sort of comparison to make. And you're right about the -- we had the same sort of -- same kind of pricing, we had HMM firing there in that the year, just as we do this year. I mean, we think we've planned the pricing well. HMM continues to work very well. The difference really is that consumer and the way the consumer is behaving, and the key thing going on in F '09 was we had a very meaningful shift from consumers eating Food-Away-From-Home to consumers moving into the grocery store. And that shift, I think, gave us a tailwind. So we had a combination of HMM volume growth and pricing, all of which came through and which led to the scenario that you just described. We don't see Food-Away-From-Home growing over the next few years. And this is something that we can -- we'll go into in a little more detail in July 13, but that sector has stabilized. And so we don't really see the dramatic shifts into the grocery right now, although obviously there's a good traffic in grocery stores, but we don't see that shift, and we do see the consumer as a -- it's a slow recovery. You guys all know and caution out there and so that I think is the reason for our caution on the volume piece of the equation.
Donal Mulligan: The only thing I would add, Eric, is if you’re comparing back to '09, I can absolutely understand how you gravitate to that comparison is F '09 was a 53-week year, fiscal year, also, so we have that as benefiting our bottom line.
Eric Katzman - Deutsche Bank AG: Okay. And then I don't know if you can answer, last one, but I don't know if you can answer this now or wait for a couple of weeks, but just -- your stock has been okay within the context of a pretty strong group the last couple of months, but I think you probably admitted it hasn't done as well as you’d probably like or as it’s done in the past, and you’re suspending share repurchases to spend the money on the Yoplait business, but it really doesn't look like it's going to add much in terms of at least earnings over the next year or so, and so can you kind of -- I mean, it's not like the company is under levered and then at the same time you raised your dividend 9%. So I'm just trying to kind of understand like the capital kind of allocation and why it wouldn't make sense to just put on more leverage but buy back stock if you're that comfortable that Yoplait is really going to so significantly add as a fifth pillar of growth, especially with raising the dividend?
Donal Mulligan: Yes, it's a very fair question. Let me kind of parse it all out. I guess what I'd give it as a macro view first is that when we think about our earnings growth, we, first of all, fundamentally look at our sales and operating profit growth. EPS is clearly an important figure, but we want to make sure that we're creating businesses that are going to drive that operating profit growth. That's what we think we've added with the Yoplait acquisition. The thing about the financing, we do want to make sure that we retain a capital structure that nears -- that allows us the fundamental strength and the flexibility as we move forward. We think BBB+ is the right place to be, both from a borrowing standpoint and that financial flexibility standpoint. To hold that rating, it seems using share repurchases dollars or what could be share repurchase dollars for this acquisition, it's a little bit separate from our dividend decision. The dividend decision quite honestly from going 9% versus something a little bit lower isn't a significant dollar decision, but it’s important that we continue to move that dividend in that high single-digit that really we've committed to over time and certainly we have delivered against over the most recent past. So as we think about our return to shareholders, the key thing is in regards to Yoplait acquisition is how do you add businesses that are going to help you drive that top line growth and the operating profit, and that's what that acquisition did. The funding of it then is maintaining our capital structure.
Eric Katzman - Deutsche Bank AG: Okay, I'll pass on.
Operator: Our next question comes from the line of Ed Aaron from RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC: I just wanted to ask a couple of clarification questions about your 2012 guidance. So last quarter, you seemed fairly committed to delivering growth algorithm for the year. And just wondering if that was more of a misread on our part or if something maybe changed in terms of your internal planning process over the past 90 days or so.
Kendall Powell: No, Ed, I think what I'd say is we really do approach every year obviously with the commitment and the goal of being very closely in line with that long-term planning model. And just simply as we got deeper into the plan and the full impact of the inflation and, really, as we have talked over several questions over this past few minutes, really, tried to assess where we thought the consumer would be in response to the general level of inflation. That just led us to conclude that we need to be cautious about those variables as go into fiscal ‘12. So certainly, our starting point is also to stay model, but this a year that I think for very clear reasons, we chose to vary from that a little bit.
Edward Aaron - RBC Capital Markets, LLC: Okay, that's fair. And then as far as kind of pricing goes, it looks like pulled back on trade spending a little bit more than what your peers had in kind of the most recent periods. And I’m wondering if you think that's because your competitors are maybe being still a little bit excessive with promotional or if there are perhaps some timing dynamics involved related to some of your upcoming new product introductions that you're trying to keep some powder dry to support over the next few months?
Kendall Powell: Yes, I mean it's very difficult and unwise, I think, to make -- to comment on what we’re -- on competitors, but I think that it's fair to say that in our industry where in-store promotion and merchandising is a key marketing lever, and so there are significantly high levels of promotion across most of our categories. I think as you approach increasing prices, I mean all of us are looking at a combination of list price increases and you've seen those. But also changes in promotional strategy often either through frequency sometimes and depth. And this is I think very clearly going to be part of the mix for everyone. As to how that plays out, I mean, there are timing elements to this. Different retailers have different planning approaches and it can take time for the merchandising piece to work its way through. And so not worth going into that now, but I'm quite confident that we're all looking at a mix of the 2 levers as we adjust our prices here.
Operator: Our next question is from the line of Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley: I guess I wanted to get some more color on the cost inflation and maybe relative to where you hedge position going into this year relative to last year. Just because we were sort of modeling high levels of inflation for you guys, but 10% to 11% is higher than what we thought, and we also would've thought there would have been benefits from hedges at least going into the first half of the year. So I guess my question is, did you have a stronger cost position last year because you were very well hedged and some of inflation going into this year is just that rolling off? Or are we sort of misunderstanding some of the key inputs that you might be experiencing higher than -- higher inflation that we might be able to see sort of from future curves?
Donal Mulligan: Vincent, this is Don. I think what everybody’s seeing across the industry is a pretty significant step-up of inflation. I think we've seen our peers call out high single-digit even double-digit rates as well. So I think everyone's feeling this in the near term. And clearly, if you look at across -- again, we have a broad basket. If you look across our commodity basket whether it's grain or energy or dairy, you can look year-over-year and see -- on the spot market and see 40%, 50% even 70%, 80% increase in some of those commodities. So the higher rate of inflation I think is very much industry-wide. As far as our hedge position, we’re coming in this year a little over 50% hedged. It's about the same place we were a year ago. And so we're comfortable with our hedge position as we come into the year. At least we’re consistent with a year ago. And as we look back on the past year, we do think we hedged pretty well in upward sloping market. So obviously as those hedges roll off, we feel the impact of those. That's what we see the highest inflation pinch in this first quarter.
Vincent Andrews - Morgan Stanley: Okay maybe just a quick follow-up on the volume, is there anything you're seeing so far in your fiscal first quarter that has given you sort of incremental or sequential cost for concern on the volume front relative to your trends in the fourth quarter, that might have been driving sort of the pricing decision? Because I guess, you just -- we all know inflation is up and you just pointed out it’s happening for everyone so just trying to understand what's different.
Donal Mulligan: Our expectations across the entire food industry is there was a bit of a price deflation in the store over the past year in 2010. You didn’t see a marked uptick in volume. As pricing starts coming through because of these pressures I just talked about, we [indiscernible] across the industry to see significant decline as well. That said, we’re being cautious in our assumptions on the full year, just given the current economic state and particularly the health of the consumer. Now in terms of the near term, we talk about the fourth quarter, we’re rolling over significantly strong volume growth on a comparable weeks basis from a year ago. So we knew we'd be down in the quarter. We also have some certain promotional timing shifts this year where some large programs will be running in the second quarter versus the first quarter a year ago. And that will impact the volume in the first quarter, which is also why we feel the most both volume and profit pressure in that first quarter. And so the volumes, as we see them coming in now, they're really meeting our expectations. Q4 we know is tough to read because of that year-over-year comparison, but kind of a month into the quarter, a month into the year and the quarter, volumes are about where we expect them to be.
Operator: Our next question from the line of Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., Inc.: I just wanted to ask about Yoplait in the U.S. rather than overseas. In particular with respect to shelf space , I guess I have seen some of the new Greek yogurt brands seem to be taking quite a lot of space on the shelf, and I'm curious about what your own shelf space trends have been or whether perhaps with the expansion of Greek yogurt, the entire category is getting more shelf space assigned to it so it’s not probably new too much?
Kendall Powell: Well, it's just very much the latter, Alexia. I mean I think the category if you think about historically has been a category that's expanded the new development of new segments. And so Greek is appealing to a new consumer and it's -- and retailers are expanding space in order to accommodate it. So that's what's happening. And as I said, obviously, we like that segment too. We've got a product there now that is turning. It's gaining share. We needed to add capacity to support it, and we have, which is a good problem to have. That will come on stream here later in the summer. And at that point, we'll have the mass and the capacity reserves to support advertising. So it's a good exciting segment and we are in there now with a product that's growing, and retailers are clearly seeing the yogurt category as a grower. And they're adding refrigerated space to support it.
Operator: Our next question is from the line of Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG: Two questions for you. One is when I look at what your plan was for media spending in the beginning of the year for fiscal '11, it was for pretty much a low single-digit increase. You ended up cutting it quite a bit. I get to a $90 million cut quantitatively. And then when I look at the increase for fiscal 2012, you're still not going to be up quantitatively to where you were 2 years ago, and I'm just -- it ends up being 5.3% of sales or something like that. Can you tell me if you think that you're continuing to spend at the right level or if you feel like fiscal '10 levels was really where you needed to be? And then another question on restructuring expense, a lot of your peers are taking bigger restructuring charges, re-thinking their asset platform base. Have you ever thought about doing some deeper dives into your assets to determine whether deeper realignment is necessary?
Kendall Powell: Rob, let me take the first bit. I think about media -- first of all, thinking about it maybe in a 4- or 5-year trend, and I think in F '08, we were up double digits -- or F '09, double-digit, F '10 we were up, I think it was 24%, 25%. So very, very significant increases over a long period of time. We backed off I think appropriately some this year that we just concluded. And we're adding back I think at a good level in this year. So we’re adding to on already high level. The other point that I would underline is a comment I made in the prepared remarks. We're getting much better allocating more of the total media bucket to working media. So we're figuring out ways through HMM and all these disciplines to reduce the amount of money that's going into production and all of the related expenses so that the actual true media impact both last year and this year is above the spending impact. And I think we made the comment that we're now the #1 media advertiser in the food space in the U.S. And so I think that’s kind of sort of a long-winded way of saying obviously we're totally committed to having the right level of media support. We've got good growth this year supporting all of the core stuff that we have. We’ll have good support on all these new products that we're excited about. And the in-market impact will be even above the dollar figure that we’re giving to you. So yes, we feel just fine about that. Don, do you want to take the restructuring…
Donal Mulligan: Yes, I will also add one other point on the media is, Rob, it’s also -- you have to look relatively as well. In the U.S. we actually gained share of voice this year. So it's important to look at where we are relative to competition, not just to our prior year. As far as the restructuring, we always evaluate where our assets are and how productive they are, but fundamental is really HMM and our managing of margins isn't about necessarily down-peeling bricks and mortars. It's about innovation and finding new ways to produce or to formulate products and to deliver them to the customers. And so we haven't had to rely on a lot of restructuring. We have done some targeted restructuring in our Bakeries and Foodservice over the last 4 or 5 years, and you’ve seen the benefit of that in a business where profits have virtually tripled over the last -- over that time period. So we do, do it in a very targeted manner, and we certainly do review our asset base on a regular basis. But as we think about HMM in our ongoing productivity, it is really more about process formulation, delivery changes and less about bricks and mortars.
Robert Moskow - Crédit Suisse AG: One follow-up for you, Don, is media -- are inflation rates rising this year compared to prior years?
Donal Mulligan: For media, yes, it is up a bit.
Kristen Wenker: Thanks, everybody. We're out of time, so those of you we didn't get to, please give me a shout.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.